Operator: Good morning, ladies and gentlemen, and welcome to the Omnicom First Quarter 2013 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. At this time, I'd like to introduce you to today's conference call host, Executive Vice President, Chief Financial Officer of Omnicom Group, Mr. Randall Weisenburger. Please go ahead.
Randall J. Weisenburger: Good morning. Thank you for taking the time to listen to our first quarter earnings call. We hope everyone's had a chance to review our earnings release. We have posted to our website both the press release and a presentation covering the information that we'll be presenting this morning. This call is also being simulcast and will be archived on our website. Before we start, I've been asked to remind everyone to read the forward-looking statements and other information that's included at the end of the presentation. I'd like to point out that certain of the statements made today may constitute forward-looking statements, and that those statements are our present expectations and actual events or results may differ. We also want to remind you that during the course of the call, we will discuss some non-GAAP measures in talking about our performance. You can find the reconciliation of those measures to the nearest comparable GAAP measures in the presentation materials. Now we're going to begin the call with brief remarks from John Wren. Following John's remarks, we'll review our financial performance for the quarter, and then we'll open up the call for questions.
John D. Wren: Thank you for joining us this morning. I'm pleased to speak to you about our latest business results and the progress we're making against our key financial and strategic initiatives. 2013 is off to a good start. Organic growth was 2.9% for the quarter. Our margin performance and free cash flow were on plan. On our year-end results call, I said we expected modest growth for 2013. Our expectations have not changed. Today, the global economy appears to be operating at 3 speeds. Asia and Latin America remain strong, the U.S. continues to experience slow but steady growth and the most challenging region continues to be the Eurozone. Against this backdrop, we have sharpened our focus on things we can control. We are working with our agencies in key markets to take advantage of growth opportunities as they arise, and our managers remain focused on controlling our cost structure. I'd like to spend a few minutes discussing some of the strategies that are essential to our growth. First, acquiring and retaining the best talent; second, expanding our geographic footprint and service offerings to our clients; third, continuing to invest in our digital and analytical capabilities in all key markets around the world; and finally, delivering innovative and integrated solutions based on meaningful consumer insights. Our ongoing investments in our recruitment initiatives, talent management and training programs are helping us increase the diversity and skills of the many talented individuals at our agencies. Across our organization, we are also focused on supporting our clients' efforts to grow their business in markets around the world. We are expanding our geographic footprint in rapidly growing economies in Asia, Latin America, Africa and the Middle East through prudent acquisitions and focused organic investments. Meeting our clients' needs is the first test for all our acquisitions and investments, followed by cultural fit and price. We remain steadfast in this approach. As the pace of innovation accelerates, new platforms are emerging on almost a daily basis. Experience tells us that these platforms will come and go in shorter and shorter cycles. We've adapted an open-source approach to partnering with media, data and research companies. This strategy allows us to employ the latest technologies, and at the same time, reduces our investments in or acquisitions of technology that may become outdated. Another important benefit of this strategy is that many of these technologies are enabling us to capture, filter and analyze large amounts of data, transforming the way our agencies leverage information to drive business results for our clients. Annalect, our primary data and analytics business, is aggressively working with our agencies, clients and partners to collect data in real time and convert it into actionable consumer insights. Executing on our core strategies, investing in talent, digital and analytical capabilities, expanding our footprint and service capabilities and delivering actionable insights and integrated solutions will allow us to further excel in innovation, creativity and grow the company. Now I'd like to turn my attention to the first quarter. As I mentioned, organic growth globally was up 2.9%. With the exception of the euro markets, all of our major regions experienced solid growth. By regions, the U.S. had 4.1% organic growth. We remain optimistic that the U.S. economy will continue to improve for the balance of the year. In Europe, the U.K. experienced organic growth of 2.3%. Euro markets had negative organic growth of 3.7%. Almost every year, a country is being impacted by the broad economic slump in the region. At this point, we expect volatility to continue, as France makes adjustments to reach budget objectives and Germany prepares for federal elections this September. Our European agencies outside the euro currency markets turned in positive results, as did our businesses in Asia and Latin America. I will now turn the call back to Randy, who will take you through our numbers in more detail.
Randall J. Weisenburger: Thank you, John. Q1 was a good start to the new year. Revenue came in at just below $3.4 billion, which was an increase of 2.8%. Organic growth was at the high end of our expectations for this quarter at 2.9%. I'll address our revenue growth in detail in a few minutes. EBITDA and operating income. Due to the continued efforts of our agency management teams in controlling our cost structures, EBITDA increased 2.7% to $397 million, and our EBITDA margin was 11.7%, which was in line with Q1 of last year. Operating income or EBIT for the quarter increased 2.5% to $372 million, and the resulting operating margin was 10.9%. Slide 2 addresses the items below operating income. First, net interest expense for the quarter was $40.9 million, up $11.7 million from Q1 of last year, but up only $600,000 from Q4. The year-over-year increase is primarily due to interest expense on the $1.25 billion of 10-year notes we issued in Qs 2 and 3 of last year. On the tax front, our reported rate for the quarter was 33%, up slightly from Q1 last year. As we mentioned during our call in February, resulting benefit from our Asia-Pac reorganization should bring our normal operating tax rate down to about 33.6% for the full year. Also this quarter, we had a couple of small onetime or discrete items that impacted the rate positively. Earnings from our affiliates increased to $3.2 million this quarter, and the allocation of earnings to the minority shareholders and our less than fully owned subsidiaries decreased $1.7 million to $19.7 million, mainly as the result of the performance of our European operation. As a result of all of that, net income was $205 million for the quarter. On Slide 3, we show the allocation of net income to common shareholders and to participating securities, which for us is our restricted stock. Year-over-year, the amount increased by $900,000. This chart also shows our diluted share count. As a result of our ongoing focus on returning cash to shareholders through share repurchases, our diluted share count for the quarter was down year-over-year about 5.2%. The combination of net income and reduced share count resulted in diluted EPS of $0.76 per share. On the next few slides, we take a closer look at our revenue performance. First, with regard to FX, on a year-over-year basis, the dollar strengthened against the yen, British pound, real, the Aussie dollar and the rupee, and it weakened against the Euro, the RMB, the sing dollar and the yuan. The net result reduced our revenue for the quarter by 0.06%, or about $20 million. Looking ahead, if the FX rates stay at current levels, the impact on revenue will be negative about 20 basis points in Q2 and about the same amount for the full year. Revenue from acquisitions net of dispositions increased revenue by $15.4 million in the quarter, or about 0.05%. Looking ahead, if we don't complete another acquisition, we would expect net acquisition revenue to remain marginally positive in Q2. Now with regard to organic revenue growth, it was a very solid quarter, up 2.9%, or about $96 million. As I mentioned, the performance was at the high-end of our expectations coming into the quarter. I should also point out, but I believe most of you already know, we're up against pretty strong comps from the first half of last year, where we had over 5% organic growth each quarter. Turning to our mix of business on Slide 5. Brand advertising accounted for 49% of our revenue and marketing services, 51%. As for their respective organic growth rates, brand advertising was up 6.1%, led by continuing strong performance in our media businesses, and our marketing services sector was up 0.01%. Within marketing services, CRM was down in the quarter. Strength in our field marketing businesses domestically, as well as in China, was offset in part by the performance of our events businesses, which last year benefited from Olympics-related activities. Public relations was up 1.9%, reflecting improved performance in our markets outside of Europe and specialty communications was up 1% overall. While our recruiting businesses continue to be down, our health care businesses had a very solid quarter, driven by strong new business performance. Turning to Slide 6. Our geographic mix of business in the quarter was split 53%, domestic; and 47%, international. In the United States, revenue increased $72 million, or 4.2%. Organic growth remained very strong at 4.1%, or $70 million, again, led this quarter by the strong performance of our media business, and acquisitions net of dispositions was marginally positive, adding $2.2 million. International revenue increased $19 million, or 1.2%. As I mentioned, FX continued to have a negative impact, resulting in a decline of 1.2%, or about $20 million. Acquisitions net of dispositions increased revenue by $13 million and organic growth, in aggregate, was positive $26 million, or 1.6%, but again, organic growth continues to be extremely mixed by market. In our larger European markets, Russia, Turkey and the U.K. had positive performances. In the Eurozone, Spain continued to do well, while France and Germany were both down. In aggregate, the Euro countries were down 3.7%. In Asia, we continue to have strong performances across the region, with China, Hong Kong, India, Japan and Singapore leading our effort, and in Latin America, our operation in Brazil continues to lead the region. Slide 7 shows our mix of business by industry. On a percentage basis, there were no significant changes in our mix of business this quarter compared to Q1 of 2012. As for growth rates, we had good performances in consumer products, technology, pharma and T&E sectors. On the other side of the spectrum, financial services continues to be difficult. Turning to Slide 8. Our cash performance in the quarter was in line with our expectations. We generated approximately $302 million of free cash flow, excluding changes in working capital. On Slide 9, you can see the breakdown of our primary uses of cash during the quarter. They included dividends paid to our minority interest shareholders of $23 million, capital expenditures of $38 million. Acquisitions, including earnout payments net of proceeds received from the sale of investments, totaled $17 million and share repurchases net of the proceeds received from stock issuances under our employee share plans totaled $238 million. As you may recall, we accelerated the payment of our Q4 dividend from early January to December. As a result, there was no dividend payment in Q1. So all in, we outspent our free cash flow by about $15 million in the quarter. Slide 10 shows our current capital structure. Year-over-year, our total debt increased to $4.46 billion, almost entirely related to the $1.25 billion of 10-year senior notes we issued during Q2 and Q3 of 2012. Our net debt position at the end of the quarter was $2.37 billion, which was an increase of around $680 million from last year. The year-over-year increase was due to our share repurchase activity last year and an increase in working capital at the end of Q1, which was mostly the result of the quarter ending on the Easter holiday. As a result of the increased debt, our total debt-to-EBITDA ratio increased to 2.1x and our net debt-to-EBITDA ratio was 1.1x. Our interest coverage ratio remains very strong at 11x. On Slide 11, both our return on invested capital and return on equity continue to lead the industry and both increased further for the last 12 months. Our return on invested capital increased to 17.7% and our return on equity improved to almost 30%. And finally, on Slide 12, we track our cumulative return of cash to shareholders. As you can see, for the period from 2002 to the just completed quarter, the cumulative return of cash to shareholders has now matched our cumulative net income for the same period at $9.3 billion. This is largely the result of our share repurchase activities. However, over the last couple of years, we've made a point to significantly increase our dividend payout ratio. And that concludes our prepared remarks. There are several other supplemental slides included in the presentation, but at this point, we're going to ask the operator to open up the call for questions.
Operator: [Operator Instructions] We have a question from the line of James Dix with Wedbush Securities.
James G. Dix - Wedbush Securities Inc., Research Division: Two questions. I guess, if you could give any comments on the changes at Chevrolet and then just looking beyond the auto category. How do you see the current environment in terms of opportunities to pick up large-scale new business? And then second, when it comes to application of data for your clients, has it generally been more about providing the same impact in terms of whatever KPIs are important for those clients at a lower cost? Or are you seeing opportunities to actually apply data to uncover new demand at a similar cost?
John D. Wren: With respect to Chevrolet, there are 2 components of it of the business that we have with them. One was the advertising business with Goodby Silverstein and the other was with another agency called 720. 720 continues its relationship with Chevy and Commonwealth, and for the quarter, there wasn't any impact at all. And most of the analytics that -- it's a very broad question. What we're able to do and increasingly able to do is do better targeting, grab better insights, and that's what most of the work has been focused on with respect to the majority of the work we're doing in that area.
Randall J. Weisenburger: New business -- big opportunities in new business come across periodically, and I think our agencies do very well at it. Where I think we really excel is, frankly, the day in and day out, it's agencies coming up with innovative solutions, innovative ways of bringing new ideas to the clients that continue to drive our growth and importance to the client and hopefully help drive the clients' results over time.
James G. Dix - Wedbush Securities Inc., Research Division: Okay, great. Just one follow-up. So I take it that the changes at Chevrolet have not had a material impact on your outlook for growth this year?
John D. Wren: No, nor could they.
Operator: And we have a question from the line of John Janedis with UBS.
John Janedis - UBS Investment Bank, Research Division: When you guys look at your U.S.-based multinational clients, have they been shifting money out of Europe maybe to faster-growing markets and generally keeping the budget intact? Or is Europe pressuring their global spend?
Randall J. Weisenburger: It's not something that we track quite that way. I would probably hypothesized that most companies have to manage their global P&L. So obviously, if people have difficulties in one market, no different than for us, with negative organic growth in Europe, it certainly puts pressure on the company globally because, again, we're reporting one set of numbers. We're breaking the numbers out, but the aggregate performance is what counts.
John D. Wren: And I might add that, and this is not necessarily responsive to the question you had asked, but Europe is still a big market. There's still a lot of that activity that goes on in Europe, and it's going to continue. It's not growing at the moment, but the growth is marginal when you compare it to the base.
John Janedis - UBS Investment Bank, Research Division: And also, Randy, auto has been a strong category for you, at least through the last 12 months before the March quarter. Is the weakness primarily from Europe or is growth just normalizing there?
Randall J. Weisenburger: We basically had a flat quarter in auto, and it will be consistent. I always told people you shouldn't look at one quarter's numbers, especially when you break it down into small segments. It could be timing. It could be a lot of things that are impacting the number, and again, the numbers -- flat isn't -- it's not stellar. It's not -- we're not looking for flat numbers, but flat is not bad.
Operator: We have a question from the line of Craig Huber with Huber Research.
Craig Huber: I've got a couple of housekeeping questions first. I mean, typically, you'll talk about your new client billings for the quarter. I guess your normal goal was about $1 billion on net basis. How did that performed in the quarter? And I also wanted to ask, can you break apart your salary and service cost line versus your office and general expense line, please?
Randall J. Weisenburger: Yes. So net new business was just over $1 billion. So it wasn't a stellar quarter, but it was a solid quarter. So I said a lot of that's made up of a large number of small wins and expansions with clients. And the breakout of salary and service and office in general, salary and service was $2,533,600,000 and office, in general, was $493,600,000.
Craig Huber: And then also, John or Randy, your expectation for modest organic growth this year, just to sort of parse those at you, is that sort of like 3% to 3.5% growth you're sort of expecting for this year?
Randall J. Weisenburger: Yes, it wasn't a guidance, but the discussion we had at the end of the year and last quarter was we expect -- we felt -- we think this year kind of feels like 2012, except for the Olympics. And we thought the Olympics probably added maybe 1/2 to 3/4 of a point. So if that works out exactly, that will be sort of in that 3% to 3.5% range.
Craig Huber: And then lastly, if I could, when you think about the outlook here for the remaining part of the year for your euro-denominated markets, is your sense that things are getting a little bit worse there, a little bit better? What's your sort of sense there for sort of what's your expectation what happened here in the last quarter?
John D. Wren: I think Europe's going through a difficult time, and I think everybody, and it's been discussed at length, the troubles that Southern Europe's having. Our business is stabilized, I would say, in the south. And now what we saw in the first quarter was setbacks in France and in Germany, which are bigger markets for us, but not overwhelmingly large. And in addition to the concern that's in Europe, you have France trying to meet its budget objectives, and you have the Germans preparing for federal elections in September, and they are the banker to Europe, so there's a bit of conservatism there. So it can improve. I know in the future, it will improve. I don't know how fast. I don't know if it's going to happen within the next 2 quarters or in the next year, but you have a sense that they'll work their way through it.
Operator: We have a question from the line of Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Any color you can give us on how you're doing in terms of protecting profitability in the euro market, given the weakness there? I know it's not an easy market to necessarily make short-term cuts in. And then just following up on your comment about the softness in CRM in the quarter being from the difficult comps in the event business, can you remind us how long those comps last or should we see better numbers maybe in Q2?
Randall J. Weisenburger: The tough comps on some of the CRM businesses really runs through the first half, probably even a little bit more in the second quarter than the first quarter. As far as margins in Europe go, it's very difficult to manage margins. I think our agencies are doing a good job. They have to continue to do a good job. Certainly, in a negative organic growth rate environment is extremely difficult for service companies to hold their margins. Again, our agencies have, I think, done fairly well, but they need to stay focused even though it's tough.
Operator: You have a question from the line of Matt Chesler with Deutsche Bank.
Matthew Chesler - Deutsche Bank AG, Research Division: First question I have, John and Randy, we all sort of hang on every single word of yours on these conference calls, including the tone. And as I remember, at the beginning of the year when you spoke in an Investor Conference, the market read some of your comments as having an improved tone over what you had said at the end of the fourth quarter. Now I know you're not changing your non-guidance for the full year organic growth, but are you feeling any differently about your outlook, which includes modest growth now relative to what you felt just couple of months ago? And then I have a couple of questions.
John D. Wren: In the first instance, I'm impressed. My wife doesn't listen to me as closely as you do. We see what you're seeing in the newspapers. It's present. There are difficulties around the world when you look at 90-day chunks of time. It's difficult to -- I don't see anything breaking out or -- to significantly change that short-term view. It's important for us because not only are we managing the upside because we have a pretty good track record of taking advantage of opportunities as they present themselves, but setting the tone for our 70,000-odd people in making certain that they have reasonable expectations and, as Randy suggested a few minutes ago, continue to be vigilant about the cost that they have. When you look further out past this year, I am more hopeful that we're going to have steady progress, and it's going to lead to increased growth over time.
Randall J. Weisenburger: And in case it's different or in case I sound different, my tone is basically it's intended to be the same. There are a lot of really good things going on around Omnicom. There's some great innovative ideas that different of our agencies are executing against, utilizing new technologies and new mediums that I find extremely interesting and exciting and I think that it's fun to be around, seeing that level of innovation, I'll say. There's some definitely difficult economic environment and it's our third or fourth year of that, which is very difficult. It's much more fun to manage service businesses with a 7% or 8% or even a 4% or 5% GDP growth environment, pretty consistent in every market around the world. We don't have that. We knew that coming in. We haven't had it for the last 2 years. Those agencies have to manage. The good news is, I think, with the innovation that our agencies have, they're finding ways of growing their businesses and expanding, which does make it enjoyable to be around.
Matthew Chesler - Deutsche Bank AG, Research Division: And then the quick follow-up would just be around gross buybacks. You've provided the net number. Can you give us the gross number on the call?
Randall J. Weisenburger: Yes, we're going to have to look for that one though for a minute. Why don't I -- why don't we go on to the next question and I'll -- well, hold on, maybe we've got it. It's faster than I expected. Gross buybacks were 4,992,000-some-odd shares.
Matthew Chesler - Deutsche Bank AG, Research Division: Sorry, 4,992,000, okay, average price or dollar amount?
Randall J. Weisenburger: 4,992,000 shares. It will take me a second to give you the dollar amount.
John D. Wren: Okay.
Randall J. Weisenburger: Oh, what's the average share price? Let me just do it off that. $273.5 million.
Operator: We have a question from the line of Tim Nollen with Macquarie.
Tim Nollen - Macquarie Research: I have one company specific question and one industry question, please. First of all, sorry to dig up something that has come up many times in the past, but just noticing a couple of puts on converts coming up in June and July. Any commentary on your approach to those? And industry-wise, I just wonder if you can talk a minute about media measurement. There's been a lot of discussion lately about possible changes to the TV rating system that Nielsen runs. There is a lot of things going on with online ratings, perhaps contrasting with all of the data that Google or Facebook, whoever else maybe able to provide. And I just wonder if you could talk generally about your view on media measurement and how it affects your businesses, please.
Randall J. Weisenburger: I'll give -- let me first answer the converts. So the converts have been good securities for us that we like. We'll go through, like we do each time, a put or a call period comes up, and evaluate them and make what we think is the right economic decision. I haven't done that yet for this one, for this put date that's coming up, but again, the converts have been good securities for us for a long period of time. I'll let John comment on the media measurement. I'll give you the backdrop, though, that I always give everybody. Media's very important piece of our business. It's about 12% of our revenue, in aggregate, globally. I think our firms are extremely bright and on top of all the changes and will certainly adjust whatever is necessary in their business and utilize all of the measurements and technology capabilities and changes that occur. So I can't really believe a change one way or the other is going to affect their overall business as it affects us in any significant way.
John D. Wren: And what I'd add to that is that the environment is fluid. The conversation is -- and there's quite a bit of conversation about changes in measurement and also more -- some of the methodologies which are being brought into the marketplace to measure social and other types of contact with consumers. I feel a little funny because at 6:00 last night, I was about to sit down and be brief for a different reason on this, brought completely up to date on this topic and I had to cut the meeting short. So I'd have to defer really to my media experts and they're not present this morning. We'll find out and come back to you.
Operator: We have a question from the line of Peter Stabler with Wells Fargo Securities.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: Two questions. First of all, if you look back over the last couple of years, pretty much industry-wide, the BRIC markets and some of the other large emerging markets have put up organic growth in the double-digit range. I think investors generally believe that we've obviously got strong nominal GDP growth, but the other kicker in there has been that marketing as a percent of GDP has been increasing. Wonder if you could offer a view on whether you think that trend is likely to continue, particularly in the bigger markets, the BRIC markets? Or whether we might see a maturing, if you will, and perhaps a slacking of growth there to a level that more closely resembles nominal GDP? And then secondly, a housekeeping question, I wonder if you could tell us the level of severance expense in this quarter versus first quarter of last year?
John D. Wren: Sure. Again, I might -- sorry to -- somebody's not in the room. I'm not -- the growth has been great in the BRIC markets, and it continues to be strong. I have never placed the same reliance on statistics coming from those markets as I have in the more developed markets. So I'm not sure we're comparing apples to apples. I think you can see and watch GDP-reported numbers and other types of information, whereas the car sales were down 10% across Europe and they're building new car plants in China. So there's a lot of tangible real evidence, but I haven't found statistics that I would run the business off of.
Randall J. Weisenburger: Yes, I think there's -- if you agree with some of the general theories, marketing is really tied to discretionary GDP, and I think in high-growth markets, discretionary GDP -- some of those BRIC markets, discretionary GDP, as a percentage of GDP, is increasing. I think marketing will be more closely tied to that. Our business in many of those markets is more highly tied today to, I'll say, nonlocal clients, so large multinational clients trying to establish their presence. They are probably investment spending there to build their market positions, which will benefit us as well. And the third comment, because everyone always uses BRICs, my personal view, Brazil is a very sophisticated marketing market already.
John D. Wren: As is China.
Randall J. Weisenburger: And I'm not quite sure I would put it in sort of the same category as some of the other emerging markets just because it's as sophisticated as it already is. To flip and answer your severance question, it's -- severance this quarter was about $17 million, down about $1 million or so year-over-year.
Operator: We have a question from the line of Robert Fishman with Nomura.
Robert Fishman - Nomura Securities Co. Ltd., Research Division: If I could just follow-up on the rest of the world on the revenue question. Are there any particular territories that are dragging down the growth from that historical double-digit range to this mid-single digits? Or should we think about this as kind of the new run rate going forward?
Randall J. Weisenburger: I'm not sure that I understand the question.
Robert Fishman - Nomura Securities Co. Ltd., Research Division: So historically, the rest of the world has been growing in the double-digit range. Now we've had 2 consecutive quarters of mid-single-digit growth, so I'm just kind of curious if there's any particular territory that's part of -- that makes up the rest of the world. We talked about the BRICs, Brazil, is there any particular territory that's dragging down that growth? Or is it just kind of the new run rate going forward?
Randall J. Weisenburger: I have to say off the top of my head, I don't know how -- I don't know how to answer to your question. Why don't I think about it a little bit? I'm going to have to probably -- I'll call you back after I've had a chance to go through the numbers, and see if I -- I think there's something that would allow me to answer the question better.
Robert Fishman - Nomura Securities Co. Ltd., Research Division: Okay. And can I just maybe ask one more on the cost side? So with the cost savings going on in office and general line, is that the right way to think about the rest of the year there, to help offset the increases in the salary expenses?
Randall J. Weisenburger: Some of that is timing. We certainly have a large number of programs going on to try to drive even further our efficiency in real estate occupancy and basically controllable costs. So hopefully, we'll continue to make progress on that line. We also want to make progress on the salary and service line obviously.
Operator: We have a question from the line of David Bank with RBC Capital.
David Bank - RBC Capital Markets, LLC, Research Division: I have 2 questions. The first one is managing around Europe, which I think you guys are doing pretty well, sounds like a real -- the biggest overhang you have for potential margin expansion in '13 and, frankly, maybe for '14. So what kind of normalized growth out of Europe do you think you need to see before the operating leverage toggle, switches back to where you can get some more operating leverage? And then the second question is, I guess, in the hanging-on-your-every-word category, Randy, I can't remember an earnings call where new business wasn't about $1 billion, and it actually kind of sounds like this quarter, but actually, I think one of the things you said was that you didn't think it was stellar. And given that it's not that different from the typical quarter, I think, I was just kind of looking for a little more color around that comment.
Randall J. Weisenburger: We certainly have some quarters where it's $1.3 billion, $1.4 billion, $1.5 billion. Generally, the way that the new business works, and keep in mind we have a large number of agencies and a large number of markets, and we're also a U.S.-centric and we hear about these big wins and losses, which you can get in a market like the United States, you can get when you have a global account and you get when it tends to be either the media headlines or obviously big numbers because it's big billings, and the creative accounts, the annual retainer-fee-type wins. Well, that's great, but PR wins, some of the event wins in -- especially in smaller markets a lot of those aren't even 7 figures, but there's a large number, and we have a large number of agencies and I used to describe it sort of as 3 yards and a cloud of dust. We have a lot of people doing great jobs, getting what appear to be relatively small assignments, but they are very important, meaningful assignments, especially in their markets and for their agencies. And so that 40- or 50-page list of net new business wins tends to be in the $600 million to $800 million range almost every quarter. That's because we get a large number of people out working pretty hard. And you end up getting a handful of bigger wins or -- and/or losses in the quarter that move the needle, that can move the needle more significantly. If you get a $300 million or $400 million win in a quarter, it obviously goes a long way. It takes a large number of those 6-figure wins to make up for that one $300 million or $400 million win or loss. So that's what tends to move the needle around. We would kind of expect, given our size of business, for the number to be around $1 billion and a better economic environment, probably more around $1.2 billion or so in a more positive economic time frame. And when that big win or loss comes around, the number gets up quite -- can get up quite a bit higher, but again, it's [indiscernible].
David Bank - RBC Capital Markets, LLC, Research Division: So what was missing then was like some of the high-profile big wins or losses?
Randall J. Weisenburger: There wasn't a real big -- there weren't any real big wins and losses that I can think of in the quarter.
Operator: You have a question from the line of Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: John, you said in your opening remarks, you talked about sort of an open-platform approach to technology, and I think you said that you'd book to not acquire as many assets, but more partner with media tech, data firms. And I remember a few years ago, you guys announced a pretty big Google partnership that was maybe a step in this direction or maybe a different direction, but could you maybe add a little more color to that comment and how that might differentiate Omnicom with some of the other big holding company is it tend to be, I think, more acquisitive on the technology side, data side? And correct me if you think that's wrong, and whether that's -- this strategy, you think, pays off in terms of growth or returns or profitability for Omnicom that investors might see over time?
John D. Wren: Sure. I can't -- starting with part of your question, I can't give you the strategies of my competitors because I can only observe them as you do. But philosophically, when a new platform is introduced, we're most interested initially in the learnings that come from it and whether or not it's applicable or is going to make our insights about consumers better or drive more sales on behalf of our clients. A very long, long, long time ago, when the Internet was first introduced, we had a view that, gee, if we bought 20% or 30% of any and every company, it would be a wonderful thing because we'd have a seat at the table and learn more than the rest of the marketplace. Over time, we decided that some of those investments are really good. Some of them weren't. We didn't necessarily learn anymore than anyone else because those companies had the mission of trying to grow themselves, and they'd sell and disperse their information to whomever would be willing to buy it. So we decided to get out of the investment business and stay focused on trying to invest in companies that we believe have a long-term purpose in this ever-changing and more rapidly changing process. Because we're as big as we are, everyone comes knocking on our door so we have access to look at, and often times, access to do 1 or 2 things, either partner with to make sure that what we believe the individual company will do will in fact turn out to be successful or we have the ability to make an investment in it. We've elected to deal with quite a number of different platforms, not make a judgment as to whether or not it was a good financial investment because our primary interest is to service our clients. Where we do develop long-term relationships and we do see a particular service being part of the immediate future, we would, in fact, sit down and make an investment, but we just don't run it -- we stay focused on what we're good at. We don't try to get into the venture capital business, I guess. Probably, you can add whatever you like, Randy.
Randall J. Weisenburger: No, I think that summed it up. We want to partner with the best technologies that are out there to bring those technologies with our insights and, I'll say, marketing insights, consumer insights and service capabilities to our clients. Today, there's a large number of technologies being developed for relatively narrow purposes. We obviously have a large number of clients with lots of different objectives. We want to bring the right technology to bear for the right client at the right time. We don't necessarily need to own the tech to do that. We need to know how to utilize the tech for our clients' advantage.
David Bank - RBC Capital Markets, LLC, Research Division: Got it. And if I could maybe squeeze one more in, Randy. The year is off to a decent start. I know you didn't change your sort of full year outlook, but would you be willing to give us a sense for how much sort of additional revenue growth would then lead to a change in your margin expectations? I think they're flat year-over-year for the year, I mean, would 100, 150 basis points of improvement sort of move the needle for you guys? Or do you think that you've sort of -- you've capped the margin outlook in the right balance?
Randall J. Weisenburger: I think for right now, we're pretty happy with our margin performance and the, I'll say, a current year objective of flat margins in the current economic environment. So I mean, your question was how much improvement. If it was the right improvement and the right locations, I could see margins expanding. But as I mentioned before, it's very difficult to manage margins in a negative organic growth environment like it's around Europe, and, frankly, the volatility of organic growth is what's difficult. If we had uniform 3% organic growth across every agency around Omnicom, frankly, that would be an easier environment than now, where we have agencies with high organic growth rates, and, frankly, at times that becomes difficult to manage their margins too because it's been a probably high-cost or rising-cost economic environment, as well as the places where it's negative or more difficult economic growth.
John D. Wren: I think the only thing that I would add, especially this morning, having learned that everybody listens to every one of our words, is what Randy said is absolutely spot on. But in the answer, don't interpret it to be that we're satisfied with our margins, we're not. We're constantly going agency by agency, region by region to find out, re-examine the way we're doing business, to find out whether or not there's a more efficient way to do business. So the quest has not stopped, even though your question had more to do with guidance, I think.
Randall J. Weisenburger: Yes, and, frankly, to go on John's point, our agencies have to do a very significant amount of work each year to continuously find efficiencies in order to hold their margins, let alone improve their margins.
Operator: We have a question from the line of Dan Salmon with BMO Capital Markets.
Daniel Salmon - BMO Capital Markets U.S.: My question's more of industry orientation as well and a bit more of a mid- to longer-term view. On 2 verticals, on auto, where we're past the domestic bankruptcies now, that first wave of new model launches and sort of settling in, but still working back to sort of prerecession levels of spending. I'd be interested to see how you expect that industry to work through over the next couple of years. And then secondly, the health care vertical, where I know we've been talking a lot in past quarters about some big drugs coming off patent, and maybe where you see the pipeline coming in and potentially that vertical coming back a bit more aggressively in the next few years.
John D. Wren: The U.S. auto companies, our auto numbers are global auto numbers, to begin with. So we see the U.S. increasingly moving back to what was normal prior to the bankruptcies, as you say, and the setbacks, and the products improving that are being produced by the domestic auto players.
Randall J. Weisenburger: And we're pretty fortunate in the auto category. We got a -- we have a broad range of services. We have sort of multi-disciplined global clients. We have 3 extremely strong clients that are right now growing share on a global basis. So that certainly benefits us, and we have a broad range of services, other services that we provide in the auto category to various companies around the world. So we're not -- it's not just a U.S. question or a European question. Over the last 4 or 5 years, we've found our auto revenues to be pretty logically aligned with global unit sales. So it's a category that has been pretty rational. Health care lately, our agencies have actually picked up and we had a pretty good quarter this quarter overall in health care. It's hard for me to segment right now, quite this fast in the quarter, whether or not that's new business performance or industry performance. I have a feeling that it's our new business and agency performance as opposed to overall category performance.
John D. Wren: And just one final point to do with Omnicom. In terms of servicing major automakers, our limitation is more on the side of the number of agencies that we have that already have a car account. And we were at 100% capacity until recently, when Goodby ended its relationship with General Motors. On one side, that's a bad thing. On the other side, I have great confidence that it won't be too long before Goodby gets another major car account. So this quarter, it's troubled. Three quarters from now, it will be an opportunity for us, the way I view it, because that's been the experience that I've had in dealing with the agencies that we represent, so...
Randall J. Weisenburger: Okay, I think we're probably at or past 9:30. So first, thank you all very much for taking the time to listen to our call, and we'll be -- Shub [ph] or I or whoever will be happy to answer any questions if you still have some. Thank you again. Bye-bye.
Operator: That does conclude our conference for today. Thank you for your participation and using AT&T Executive Teleconference Service. You may now disconnect.